Operator: Welcome to Franklin Resources EarningsCall for the quarter ended September 30, 2007. Please note that the financialresults to be discussed in this conference call are preliminary. Statementsmade in this conference call regarding Franklin Resources Inc., which are nothistorical facts are forward looking statements within the meaning of thePrivate Securities Litigation Reform Act of 1995. These forward lookingstatements involve a number of known and unknown risks, uncertainties, andother important factors that could cause actual results to differ materiallyfrom any future results expressed or implied by such forward lookingstatements. These and other risk, uncertainties, and other important factorsare described in more detail in Franklin’s recent filings with the SEC.Including in the risk factors and MDNA sections of Franklin’s most recent form,10K and 10Q filings. I will now turn the call over to Greg Johnson, CEO. Mr.Johnson you may begin.
Greg Johnson: Thank you and good afternoon andthank you for joining us today. This is Greg Johnson, CEO of Franklin Resourcesand joining me today is Ken Lewis, our CFO. I’d say it’s a solid quarter but achallenging quarter to look at the volatility that we’ve seen, really the firstvolatility that we’ve seen for quite a few quarters in the market. Looking at the assets undermanagement they increase slightly to $645.9 billion which is up 3.5% and theaverage assets increased from 605 to 627 or about 3.6%. The mix really didn’t shift muchbut the net sales did shift towards fixed income and money funds and at quarterend equities represented 60% of our assets, fixed income 20.7, hybrid 18.1, andmoney funds 1.2%. Looking at the over all net salesI think we are pleased with the 9.8 billion in flows and a very difficultquarter and also during the summer months which tend to be slower. Thiscompares to 15.9 in the prior quarter and 2.4 in the September ’06 quarter. Wehad appreciation of 12.8 billion for the quarter. Overall sales were up 1.3%but redemptions were up 19% resulting in the 9.8 billion in net flows. It was our twenty seventhconsecutive quarter with positive sales and just looking at some of the fiscalyear numbers gross sales were up 44% to 185.5 billion, redemptions were up 19%to 139 and net sales up 46.6 billion which compares very favorably to 12.2 inthe prior year. Some of the flows by region, thenon US flows led the wave for the quarter, US sales sold off, or had the biggestincrease in redemptions and US net sales were 2.7 versus 9.1 in the priorquarter. Non US sales were 6.1 billion versus 6.8 and again resulting in 9.8versus 15.9. In the non US we did have astrong quarter and it was led by institutional flows in Europe and Asia whereexisting Middle Eastern client funded an additional 500 million and Koreanpension fund added 380 million to a global equity mandate. The C CAV products had anothervery strong quarter led by the Templeton Asian Growth Fund, the Franklin MutualEuropean Fund, and they both had net sales of over 800 million. For the year, the TempletonGlobal Bond Fund for non US sales had net sales of 2.6 billion and MutulEuropean had net sales of 2.2. Looking at some of the countryhighlights year over year. Again C CAV was very strong in many of thesecountries. In Taiwan, assets increased to over 8 billion or up 66%, Italy up86% over 7 billion, Switzerland up 64% over 5 billion and South America up 78%to over $3 billion. India had another strong year andassets crossed 7 billion and Korea crossed 3 billion. We are pleased to seethat institutional AUM in the Middle East more than doubled to almost $10billion for the firm. Looking at some of the net salesby client, retail sales dropped from 13.4 to 4.3 billion, institutional increasedfrom 2.6 to 5.4 for the quarter. The Franklin Income Fund continuesto generate strong sales but as you’d expect in the kind of quarter with thevolatility in the fixed income market place those net flows did decline from 3billion to 1 billion. Mutual shares continues to be veryattractive in the retail channel with 840 million in net sales versus 1 billionin the prior quarter. Our fixed income campaign continues to attract assets andour Templeton Global Fund continues to be the strongest leader there with a200% increase year over year. We continue to see weakness inthe Templeton Foreign Fund with 1.8 billion in outflows versus 1.5, but performancehas improved considerably there in the one year numbers as Asia’s turned aroundon a relative basis for that fund. In the institutional side, wefunded a $260 million Japanese equity mandate for our group in Japan from aEuropean pension fund and 100 million Indian equity mandate from a Middle Easterninstitutional client. The global fixed income flowsremained strong. 7.7 billion year to date in over 20 different strategies, ledby a merging market debt and the FTPA which is a separately managed high yield MUNIproduct had 2.9 and 1.3 billion in flows. Looking at the net sales byinvestment objective, we had very strong equity flows again on the back of someof those international separate accounts but overall equity net flows declinedslightly from 4.5 to 4.4 billion. Hybrid led by the decrease in theincome fund and dropped from 3.9 to 1.8 and fixed income sales had the biggestdrop of 6.8 to 2.2, again what you would expect with the kind of market environmentthat we had, and one of the areas for the industry experienced quite a bit ofnet outflows with the floating rate funds and that had approximately a $500million net outflow for our various floating rates. Looking at investment performanceit was really two stories. The fixed income actually got stronger and the oneyear moved and I think of note the municipal bond funds have been underpressure from some of the more aggressive funds out there that use leverage in otherderivatives and we’ve always taken a plain vanilla approach there and they had verystrong relative performance and I think that puts in a good position goingforward. Some of the underperformance at Templetonhas led unto the three and five year numbers and that’s led to a decline therewhere the domestic equity and global international equity total assets havedeclined from higher levels. I’ll now turn it over to Ken forthe operating results.
Kenneth Lewis: Thank you, Greg. Hello everyone.Well, 2007 was a record setting year for Franklin Templeton. We couldn’t reallythink of a better way to mark our 60th anniversary than to set all time highsfor sales, assets under management… Comparing the fiscal year resultswe ended the yea with earnings per share of $7.03 which was an increase of 45%,net income of 1.8 billion, an increase of 40% and that was on revenues of 6.2billion which was an increase of 23% year over year. For the quarter, we were pleasedto see operating profits grow 4%, driven by a 4% growth in average assets undermanagement and investment management fees, but increased taxes and less nonoperating income caused quarterly earnings to decrease by 6.7% from the priorquarter. So we enter the quarter with netincome of 437 million and earnings per share of $1.76. There are really three meanthemes to highlight for the quarter. The first is that we were able to maintainconsistent operating margins despite increased cost of distribution. Second,that we generated less non operating income. And third, we experienced a morenormalized tax rate. Taking a look at some of the lineitems in revenue, investment management fees increased 3.8% driven by increasedoutfits under management, the effective C rate was relatively unchanged. You may recall last quarter wehad about $5 million of performance fees that we didn’t have this quarter. And I think that the big storyhere is the underwriting and distribution, the revenue decreased reflectinglower US retail sales and higher international institutional sales this quarteras Greg discussed. And while net underwritingdistribution revenue increased in absolute dollar terms our underwriting anddistribution margin declined to 4.35% for the quarter, as institutional andinternational products are more expensive to distribute than their UScounterparts. Now I think it’s important tonote here that this really is a point of sale issue and it’s not indicative ofoverall profitability of the various products. And we have seen a generaldecline in this underwriting distribution margin and that trend will probablycontinue as we expand our global reach for the year, that margin came in atjust over 5%. Shareholder servicing feesincreased 1.3%, reflective of a 3% increase in open accounts. The decrease in totalshareholder accounts is due to a decrease in closed accounts which have a lowerfee structure. Open accounts increased 3% and that’s positive. Other net revenue decreased, aswe mentioned last quarter we had a gain of $2.7 million from a securitizationand a non recurring revenue reduction this quarter of about $2 million. I thinksome of the expense line items, there is some discussion. Many of those lineitems were up, I think the good news is that most of the sequential increaseswere from discretionary items and even with that we experienced some marginexpansion during the quarter. The first item that I think popsup is IT in occupancy it increased almost 12%. As we mentioned in prior calls weare generally seeing an increased demand from the businesses for automation,which is a good thing. Not only because it’ll increase our scalability but alsobecause it’s discretionary spend that can be quickly curtailed. Advertising and promotion, thisincrease this quarter is due primarily through promotional activities, bothwithin and outside the US. An amortization of deferred salescommission increased by 5 million and that was indicative of increased sales ofrelevant share classes. Other expenses decreased thisquarter as last quarters level was unusually high. Much of the line, thisexpense line is comprised of variable expenses such as legal and professionalfees as well as expenses that are AUM based. The second theme was nonoperating income. One of the big drivers of that decrease was our sponsoredinvestment product gains that decreased by $20 million, and that’s reflectiveof the market volatility this quarter. And investment and other incomedecreased approximately $19 million, and that’s reflective of smaller gainstaken in the corporate portfolio this quarter and also last quarter had about$13 million of equity from affiliates that did not occur in this quarter. Interest expense is running lessthan historical levels as we’ve paid down some of our commercial paper, andthen the third theme, income taxes, the effective rate for the quarterincreased to 29.5% and the effect tax rate for the year was 28.1% and that wasright in the range we expected. Last quarter’s rate was unusually low due tonon-recurring tax benefit, and this quarter’s rate had approximately 2 millionof non-recurring tax expense. So, as I mentioned, operatingprofit margins remained strong, and consistent with historical trends both onthe quarter and the fiscal year. And a word about capitalmanagement, we repurchased almost 1 million shares this quarter. When combinedwith dividends, we returned over 80% of current year earnings to share holdersthis fiscal year, and total shareholder return for the year was over 20% So, in summary, FranklinTempleton had a record fiscal year for a 60th anniversary. Despite achallenging quarter, where we saw consistent margins despite increaseddistribution costs, and more normalized non-operating income and tax expense. So I’ll turn the mike back toGreg who will go over some business highlights.
Gregory E. Johnson: Thank you, Ken. Looking in the United Statesour fixed income sales and marketing campaign that we started last Januarycontinues to be very successful. Not only have we seen very strong growth innet flows but we’ve seen our market share within the retail channel continue toimprove. In Canada we had one of our best yearsin net sales, there on record. We announced a strategic jointventure in Dubai with a new firm called AlgebraCapitol, which really allows us to build out our local asset managementstrategy and offer and build a retail business in the Middle East and North Africa region. In Europe, we acquired a majoritystake in RIBA Financial Systems, which is a creator of the RIBA Transfer AgentSoftware Solution Suite, and it really allow us to control our next generationbuilding our offshore transfer agency capabilities in multi-currencies. In Polandwe announced our second global servicing center outside of the US and that will help service the growingEuropean business and especially Germany. And in Japan, as I mentionedearlier, we won our first offshore Japanese equity separate account mandate. On the institutional side welaunched our fourth global private real estate fund, The Franklin InternationalReal Estate Fund. So, in sum, it was a strongquarter, a solid quarter, as far as earnings and flows go, in a somewhatdifficult environment. And we would like to now open itup for your questions.
Operator: (Operator instructions) Yourfirst question comes from the line of Ken Worthington with J.P. Morgan
Ken Worthington with J.P.Morgan: (Inaudible) Question before, butwith growth out performing value, what are you feeling towards Franklin havinga more meaningful presence in growth style products, and given the magnitude ofthe outperformance of growth or of value, do you feel you have the time, theresources, and the desire to maybe continue to build those organically?
Gregory E. Johnson: I think that is obviously atimely question with the rotation that we have seen. In one of the areas that Ididn’t mention that’s had very strong performance growth fund and the capitolgrowth fund the flex cap growth fundable had very good performance and we arestarting to see flows pick up there so regardless of what we do in the future,I think we feel that we do have those funds and the track record now are at aperiod of time that make them very marketable and more importantly they’reperformance has been very solid there. So I think we are in a good to position,to you know if the market continues to rotate and close and continue to gothere to capture some of that.
Ken Worthington - J.P. Morgan: Thanks, and then maybe for Ken,on the two expense signs on IT spending, you said a bunch of the spending thisquarter was discretionary. Is that recurring? Should we expect IT to remain atthe elevated level for the next couple of quarters or is that going to fallback down to you to 1Q, 2Q, 3Q levels of 07?
Kenneth A. Lewis: Well, you know as the businessexpands I think that’s a good use of company resources. I would say that thissequential increase you know the 12% was a little bit on the high side but aslong as the business expands I think you’ll see increased spending there.
Ken Worthington - J.P. Morgan: Ok and then lastly on otherincome I think in 3Q there was some litigation expense. 4Q is a little high aswell. It was, I guess maybe that’s an unusual bucket anyway but is that thatlevel of expense also recurring or should that fall back down also?
Kenneth A. Lewis: I think that in that line itemthere was kind of a mixed bag of recurring and non recurring items.
Ken Worthington - J.P. Morgan: So as we think about 1Q 08 and 2Q08 any help there?
Kenneth A. Lewis: That’s a tough one there’s a lotof things in that line and don’t forget that that line is also driven by AUM soif you see a big change in that that’ll effect that line as well there is someexpenses in there that are on a percentage basis (inaudible)
Ken Worthington - J.P. Morgan: Ok thank you very much
Operator: The next question comes from theline of Cynthia Mayer of Merrill Lynch
Cynthia Mayer - Merrill Lynch: Hi and good afternoon. Veryquickly I sort of had a similar question on the amortization line. It seemedlike a big jump for something that is just driven by sales of particular shareclasses. I guess that B shares outside of the U.S. I’m just wondering if thatwould be a good run rate.
Kenneth A. Lewis: This is the differed salescommission line I think you are referring to,
Cynthia Mayer - Merrill Lynch: Aha
Kenneth A. Lewis: Yeah that one is definitelydependant on share classes like D shares and C shares in our case it’s more Cshare driven and it has a lag effect too. So when you see the increase in rateis from sales from previous quarters so given the fact that in this quarter wehad sort of a pullback in USsales relative to total you might expect that line to level out in the shortterm.
Cynthia Mayer - Merrill Lynch: Oh so it’s lagged but sometimesthe lag is a little as a quarter?
Kenneth A. Lewis: It can be.
Cynthia Mayer - Merrill Lynch: Ok and than on the foreign fund,the performance has improved but of course the star ratings reflect three,five, ten years. I am wondering how you think the outlook is for a turn inflows there, and what controls more, the short term performance or the starrating?
Kenneth A. Lewis: Well I think the short termperformance helps with the bulk of the redemptions which is around theinvestment only side which is a big part of that fund. but I don’t expect tosee a turn around quickly I just hope the number redemption number should dropas the relative performance improves and than how quickly the retail new flowscome in that’s going to lag more than the improvement in the redemption number.
Cynthia Mayer - Merrill Lynch: Ok
Kenneth A. Lewis: You are more dependant on themorning star ratings (inaudible)
Cynthia Mayer - Merrill Lynch: Right ok and then. And then I wasjust wondering if you could give us an update on the repatriated earnings atthis point. How are they being worked throughthe system or are you have any thoughts on?
Kenneth A. Lewis: Not much to report on that it’sworking through the system nicely, and we will probably use those funds soonerthan the five year time horizon.
Cynthia Mayer - Merrill Lynch: Ok thank you
Operator: Your next questions comes fromthe line of Michael Hecht with Banc of America
Michael Hecht - Banc ofAmerica: Hi guys thanks, can you hear me?
Kenneth A. Lewis : Yes thank you
Michael Hecht - Banc of America: Hi, sorry about that. I thoughtyou could just update us on kind of a capital management thinking here I mean Iguess your current assets I guess we’ll get the cash and stuff (inaudible)rather I’m (inaudible) to quarter end but can you give us a sense of how muchcash or is excess is available (inaudible) for buybacks and such?
Kenneth A. Lewis: Well you know our we’re ourstrategy is going to continue to be opportunistic in (inaudible) repurchase asI mentioned before in terms of returning capital to shareholders we do try tofocus on not adding to the cash coffers we think that having a strong balancesheet is strategic and a strategic competitive advantage and the preferredmethod of we like the flexibility of share repurchase. but anything we havedone in the we open to anything that we have done in the past in terms ofreturning money to shareholders
Michael Hecht - Banc ofAmerica: OK that’s fair any updatedthoughts on how the outlook for acquisitions you note that you feel pretty wellpositioned from a growth, in a perfect world any areas where you would like tobe like to be bigger?
Kenneth A. Lewis: Nothing that we haven’t mentionedbefore we feel pretty comfortable about our prospects in the growth areaorganically, but we’re always out there beating the pavement and looking fornew opportunities and we’ll continue to do that.
Michael Hecht - Banc ofAmerica: Ok and than can we talk a littlebit more about the performance in Templeton is there any kind of FX impact thatyou had kind of in the quarter driving week of performance and I don’t know ifthat has any impacted mutual serious (inaudible) or given to have some internationalequity product as well and than any products you feel you are getting capacityconstrained onsets flows and (inaudible) effects have pretty strong so I meando you expect that the products?
Kenneth A. Lewis: We’re not seeing any capacityconstraints I mean the big one is the income fund and that’s a question that wesee quite a bit but I think the nature of the income fund with utilities andcorporate bonds and highly liquid investments we don’t really feel that that isreaching capacity at this stage but as we have always said if we think it’scrimping performance we will go ahead and close that.
Michael Hecht - Banc ofAmerica: Ok and than just last questionany expectations for growth and head count from here? I mean should we expect asimilar trajectory that we saw last year? Just to get (inaudible) 2008budgeting and stuff?
Kenneth A Lewis: You know, it’s going to be afunction of how the business grows. Obviously having said that, we’re kind ofpartial to longer term planning around here. I can say this, the bulk of thegrowth you know we will try to fund in these lower cost centers going forward,so if there is growth and head count per capita increase, I think than theexpense line will not be as much as has been in the past.
Michael Hecht - Banc ofAmerica: Ok I will just sorry one more taxrate next year do we think similar to what you guys saw this year, full year?
Kenneth A Lewis : Yeah well you know putting themix earnings aside which is of course a major factor in what drives the taxrate. There are probably I was looking for looking into the future there are atleast a dozen of variables that drive the rate one way or the other and I thinkon balance id’ have to say that the variables that have an upward bias slightlyoutweigh the ones that have been negative bias in terms of tax rate.
Michael Hecht - Banc ofAmerica: Ok thanks a lot.
Operator: Your next question comes from theline of Mike Carrier with UBS
Mike Carrier: Thanks just a quick question youguys went over the underrating distribution margin and it came in a bit lowthen where it was kind of trending over the past (inaudible) quarters I knowsome of the new funds, when you have new funds, it has some impact on that. ButI just wanted to get your color on what you were thinking of going forward?
- UBS: Thanks just a quick question youguys went over the underrating distribution margin and it came in a bit lowthen where it was kind of trending over the past (inaudible) quarters I knowsome of the new funds, when you have new funds, it has some impact on that. ButI just wanted to get your color on what you were thinking of going forward?
Kenneth A Lewis : Yeah you’re gonna its normal tosee volatility there. I think this quarter kind of illustrated what reallydrives that line, when you have kind of the sales mixed shift in a quartertowards non US retail. I mean from non US retail to non US andinstitutional, you are going to see that margin contract a little bit. So youwill see that volatility quarter to quarter, but I do think over the long termwe are seeing a downward trend there.
Mike Carrier: Ok and than just during thequarter you announced an outside joint venture with Algebra Capital. Just nottoo familiar with the region and just on (inaudible) side just curious just whythem as a partner? What’s the competition there whether it’s local orinternational? And than also what the opportunity? Is it more than on theinstitutional side? Or any on the retail side? And if you can size it up atall?
- UBS: Ok and than just during thequarter you announced an outside joint venture with Algebra Capital. Just nottoo familiar with the region and just on (inaudible) side just curious just whythem as a partner? What’s the competition there whether it’s local orinternational? And than also what the opportunity? Is it more than on theinstitutional side? Or any on the retail side? And if you can size it up atall?
Kenneth A Lewis: I’ll start it and Greg willprobably add. You know it’s one of our strategies for growth. We look at thatregion, there’s a lot of opportunity there’s a lot of potential for businessgrowth in that region. And we did not have local expertise and so we found somepartners that we thought did have that local expertise. I think the opportunitiesare both the on the institutional and the retail side.
Gregory Johnson : I don’t, that’s fair.
Mike Carrier: Ok thanks
- UBS: Ok thanks
Operator: (Operator Instructions) Your nextquestion comes from the line of William Katz with Buckingham Research.
William Katz - BuckinghamResearch: Thank you and good afternooneveryone. I am struggling a little bit with trying to see where the earningsleverage is going to come from. I’m trying to balance your discussion that thesome of these lines that we were focused on are variable in nature. I meanyou’ve had 12% AUM growth over the last 9 months of so, and you’re operatingincome growth has been lagging that. Just trying and then if I look evensequentially your revenues and I realize distribution has an impact here, butyour revenues were flattish. And you had double digit growth on some of theseline items. So how do we think about the margin on the go forward basis? Itssort of feels like things have sort of peaked out. Help me understand thatbetter please?
Kenneth A Lewis : Well I’m going to start with the(inaudible) you know a lot of its driven by what happens in the market. Theother thing I will point out is that this firm really is I think biased towardlong term decisions. And so we don’t really manage the short term profitmargin. But having said that if you look over at the year, you know we havebeen running at a fairly consistent operating margin which has just kind been aresidual of all the things we do here. I think that so I guess in answer toyour question, what I am saying is if we see a sharp increase in AUM in anygiven quarter, we’re not likely to go out and spend it all. The same thingwould hold true on the down side.
William Katz BuckinghamResearch: Ok and than just so distribution margins(inaudible) and a tax rate is edging higher, you really need to see a sort ofsort of a step up in the manufacturing margin at this point. Is that fair?
Kenneth A Lewis : For the margin to continue?
William Katz - BuckinghamResearch: Just so to see some materialearnings leverage at this point?
Kenneth A Lewis : Thanks fair.
William Katz - BuckinghamResearch: Ok. The other question I have isgoing to set us back to capital management and I guess a million shares seems alittle underwhelming relative to your capital base and your earnings leverage.Can you talk a little bit about your thinking in the quarter? I mean you have seena lot of the other asset managers buying, stepping in, and being more assertiveon capital management whether it’s adding leverage to the balance sheet, orwhether it’s just being more proactive in terms of buyback. Is it just ahusbanding of capital for uncertain times, product development, I appreciatethe 80% of net income going out but, just trying to understand how you arethinking about incremental returns on capital?
Gregory Johnson: Yeah I think it’s a combinationof product development strategic competitive advantage going forward, and froma capital perspective we are going to continue on the path that we’ve had inthe last year, but we will be opportunistic, you know this was a prettyvolatile quarter.
William R. Katz - BuckinghamResearch : Ok, just sort of curious you havenot talked about it directly in a while Greg. This big focus, I guess thismight be the year of a share from defined benefits and from definedcontribution. Can you give me an update a little bit on where you stand interms of the push into retirement services
Gregory Johnson: Well you know I think the viewthat we have always taken is that we try to provide our funds in as manyretirement vehicles as possible and, you know, I think the shift from definedbenefit, to defined contribution benefits, are our style more than the shift tothe other way because of our mix of funds. And we’re not out there trying todevelop retirement platforms or compete in record-keeping and we’ve gotten awayfrom that. That’s really been our strategy, and really be an independent assetmanager that can, you know, because of our scale, can have service teams reallygoing after every part of the market where they have, where they are usingoutside funds. So that’s really been our retirement plan, and people talk abouthigher rollovers, “what’s your strategy there?” No, we are not in a positionwhere we are losing assets, like many firms can from that trend, we are in theposition of gaining assets. So our strategy is always to build as manyrelationships with as many advisors as possible and that’s really the beststrategy to capture rollover assets. So I think we are in a very good positionwith regard to the bigger trend in retirement.
William R. Katz - BuckinghamResearch : OK, Just one more last thing,thanks for answering all the questions. As I look at the US business, atleast based on the SIM fund data, it seems like you’re lagging the industry andsome of your key peers in terms of the (chips) in equity. And just trying tounderstand how we should think about organic growth, if in fact there is a moredecisive style shift here, is your growth platform robust enough to potentialoffset some attrition that might start to come out from the macro level onvalue.
Gregory Johnson: Well I think that’s a hard one toanswer. I mean obviously it’s not as large it doesn’t have the brand awarenesson the value side between Franklin and Templeton. But, you know, I think wehave addressed that and it’s one thing going out to starting funds, and sayingyou are in a position to capture assets, these funds have been around they havesignificant assets in them already and they have very good track records. So Idon’t think there’s any reason why we can’t go out and market thosesuccessfully and get very significant flows but whether or not you can capturewhatever you are going to lose if there is rotation I think that’s a questionfor the distribution teams and how they execute.
William R. Katz - BuckinghamResearch : And, like your peers, are youseeing a big shift going on, sort of seemingly, at the moment?
Gregory Johnson: Well you see the numbers. I thinkwe haven’t seen the big shift yet. We have been talking about a shift for a lotof years. I think the more recent relative performance you will start to see amovement because it’s fairly dramatic, but one could argue that it’s a shift totechnology stocks instead of the whole large cap and growth versus value, I getmore confused the more I look at it. I think that tech stocks, tech stocks havedone very well, large cap stocks because of the decline of the dollar, and Isee a lot of value funds that are positioned in both of those sectors. I justdon’t think that we are going to see this kind of rotation that was so crazy afew years back for a lot of reasons, for the internet and tech stocks andthings; and then it took a lot of years to get back to a more normalized valuation.And now you are seeing, you see both sides buying the two. So I think it reallycomes down to just relative performance and probably the dollar has beendriving a lot of the large cap movement lately.
William R. Katz - BuckinghamResearch : Sure, ok thanks for answering allmy questions
Operator: The next question comes from theline of Marc Irizarry with Goldman Sachs
Marc Irizarry - Goldman Sachs: Oh great thanks, Gregory Johnsonyou guys obviously mentioned the quarter in terms of being a little bitabnormal in terms of, volatility and seeing money market flows increasing andmaybe some investor behavior that is maybe not sustainable. But what have youseen so far in terms of the way retail versus institutional investors have sortof reacted post -- maybe the Fed easing, thanks.
Gregory Johnson: Well figure you will always seethere’s more volatility with retail relating to what’s happening, you know,with the marketplace and headlines and daily and that’s going to affect theredemption rates and certainly the new sales coming in a lot faster than itwill the institutional markets. The institutional market, and that’s consistentwith our results, didn’t really seem to be disrupted, disrupted by thevolatility in the quarter and clearly the retail market was disrupted. And alot of times people will just put off purchases until something like the fedcut and then you saw things move back pretty quickly in more of a normalizedenvironment. But clearly as quick as the markets come back the mindset of theretail investor is probably not where it was four or five months ago becausethat, you know, really significant shock as far, and still today reading allthe headlines and things people are going to be a little more cautious.
Marc Irizarry - Goldman Sachs: Okay great and, I know, there isprobably not much more help you can give, just on the other income line can yougive maybe a little bit of the, maybe color, behind the characteristics ofthose investment. So we can get a better sense of how we should be thinkingabout the change in that line item, thanks?
Gregory Johnson: Well I can give you a littlecolor. Look at the last quarter; we talked about $13 million of earnings fromaffiliates; that is an annual event, that is seasonal, and so we did not havethat this quarter. And then the sponsored investment products is, you’reprobably talking mostly about equity funds there, whether it be internationalor domestic.
Marc Irizarry - Goldman Sachs: Okay, thanks
Operator: Your next question comes from theline of Christopher Spahr with Deutsche Bank.
Christopher Spahr - DeutscheBank: Good afternoon I just wanted toget us to take a step back and get a sense of how much of your AUM are held bynon-US clients and what was the total level of flows by these clients duringthe quarter?
Gregory Johnson: Non AUM…
Christopher Spahr - DeutscheBank: Non-US domiciled AUM
Gregory Johnson: 40%
Christopher Spahr - DeutscheBank: 40% in terms of sales thisquarter? Or total?
Gregory Johnson: That’s of assets from clientsthat reside outside of the US…
Christopher Spahr - DeutscheBank: OK, at quarter end?
Gregory Johnson: And I would have to look at what,I think. we have to look at what the flows were for the… US net was 3.7 and non6... so 60% or so was the exact reverse for the quarter for non-US versus theasset base. ..
Christopher Spahr - DeutscheBank: In the previous quarter
Gregory Johnson: So 60% non-US in terms of netflows for the quarter on a asset base that is 40%, that makes sense.
Christopher Spahr - DeutscheBank: Okay, and I just…
Gregory Johnson: I wouldn’t draw anything fromthat because, as I mentioned, there were a couple of big chunky institutionalaccounts that came in that were non US investors…
Christopher Spahr - Deutsche Bank: And any sense of the momentumgoing into the December quarter? Whether institutional or international?
Gregory Johnson: You know, I think as wementioned, one we really can’t give you any guidance on that; but I thinkthat’s the first shock we seen in the retail marketplace and I don’t think theinstitutional market will be affected by what we’ve seen. That is as specificas I can get.
Christopher Spahr - DeutscheBank: Thank you
Operator: There are no further questions atthis time sir
Gregory Johnson: Ok, well thank you everyone forparticipating on the call and we look forward to chatting next quarter. Thankyou.
Operator: This does conclude today’sconference call, you may now disconnect your lines.